Operator: Thank you for standing by and welcome to the Sayona Mining Limited FY 2025 December Quarter Results. All participants are in listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Lucas Dow, Managing Director and Chief Executive Officer. Please go ahead.
Lucas Dow: Thank you. Good morning, everyone. I would also like to welcome Dougal Elder, our CFO; Andrew Barber, our Director of Investor Relations; and Sylvain Collard, our President and COO of Canadian Operations to the call. Today, I'll provide an initial overview of our December 2024 quarterly report, covering operational performance and exploration activity before then moving on to provide financial and strategic updates. Following that, I'll discuss the latest drilling results from North American Lithium, NAL and Moblan in more detail, results which continue to demonstrate strong lithium potential. Before turning it over to questions, I'll then ask Sylvain Collard, our COO and President of Canadian Operations, to review progress at NAL since the restart of operations nearly two years ago and also provide some insight into the further work we have underway. To start with on the operational performance at NAL during the last quarter, on the safety front, we saw an increase in our injury frequency rate in the quarter, due primarily to exploration activities at Moblan. However, in comparison with FY 2024, we are continuing to trend down in relation to total recordable injury frequency rate and improve our overall safety performance. From an operational perspective, Sylvain and the NAL team have had another strong quarter with key points to note being Ore mined was up nearly 54% quarter-on-quarter at just over 370,000 tonnes of ore mined, reflecting increased mining activity and also improvements in terms of productivity within the pit. Mill utilization was again strong at 90%, despite there being a planned maintenance shutdown in October. Importantly, the Crushed Ore Dome continues to provide improved plant stability and allowing continued production even during maintenance periods. Also pleased to report that lithium recovery improved up 1% to 68%, indicating continued process stability and the excellent work by Lynn Girard and her team. As a consequence of the underlying utilization or mill run time and recovery performance, spodumene concentrate production was just under 51,000 tonnes for the quarter at 50,922 dry metric tonnes at an average grade of 5.3%. That said, production was slightly down 2% quarter-on-quarter, mainly due to the planned maintenance shutdown in October and weather-related crusher disruptions. Moving then on to sales and revenue performance. The December quarter represented a sales record for Sayona with 66,000 tonnes of spodumene sold, a 35% increase quarter-on-quarter. As a consequence, revenue was up 33% to AUD70 million, reflecting the higher sales volumes. Average realized selling price on an FOB basis for the quarter was AUD1,054, a 1% decline quarter-on-quarter, due primarily to the pricing formula lags and sensibly QP adjustments. Two shipments of 25,000 tonnes and 27,000 tonnes in order to take advantage of freight savings were realized in that period. As we flagged in previous quarters, we had a concerted effort with our joint venture partner, Piedmont to be able to club those cargoes together in larger shipment volumes in order to be able to realize those freight savings. The remaining 14,000 tonnes sold to Piedmont were stockpiled at the Québec port. Then moving on to costs. Cost performance highlighted and continued to demonstrate improvement. Specifically, unit operating costs on a tonnes sold basis was AUD1,258, a 6% decline quarter-on-quarter. And if we compare from where we were in quarter four of financial year 2024, we've reduced our unit operating costs by over 16% on a tonnes sold basis. Importantly, if we look at our unit operating costs, excluding inventory movements on a tonnes produced basis rather than tonnes sold basis, we're at AUD1,088 for the quarter, demonstrating the narrowing gap between our cost of production and our realized price of AUD1,054. Cost improvements were driven by and underpinned by continued strong concentrate production volumes, higher concentrate sales volumes, optimization of mining activities, reduced logistics and processing costs, and the consequence of this continued cost improvement being that now is now closing in at being operating cash flow breakeven or better, setting a strong base for future performance. Now, looking at capital expenditure. As we flagged, capital expenditure for NAL is very much loaded to the first half of the year. We saw capital expenditure for the quarter at $7 million, with the bulk of the expenditure focused on completing the expansion of the tailings storage capacity and additional site improvements and process optimization projects, which Sylvain will be able to comment on. As a consequence, we reiterate our capital guidance for FY 2025, and it remains unchanged. Now, for an overview of exploration and development activities. Drilling at NAL and Moblan has been the primary exploration drilling focus for Sona this quarter. More specifically, extensive drilling was completed across both NAL and Moblan using remaining flow-through share funding. As a reminder, the flow-through share funding could only be used for exploration activities, and it was the case of use it or lose it by December 2024. So, we were striving to ensure that we got value for money in this regard, and we're confident on the back of the results that we've released today, this has been achieved. Final invoices related to the drilling completion of approximately AUD7 million will be settled in coming months. However, the drilling work has been completed. Results from the most recent drilling continue to indicate strong potential for resource expansion, and I have some further comments later in the call in relation to NAL and Moblan. Moving now to exploration activities in Western Australia. In relation to Mt. Edon, which forms part of our Morella joint venture exploration activities, we identified significant pegmatite zones with rubidium and lithium mineralization. This will be the subject of further work. West Wodgina, we saw five new lithium target zones identified. And Cabaaa, unfortunately, wet weather delayed drilling, but field work enhanced geological understanding and identified new [Indiscernible] pegmatites. Exploration in Western Australia will continue across these projects in 2025, albeit with modest expenditure. Obviously, the December quarter was an important quarter for us in terms of corporate and strategic developments, specifically in relation to our announced merger with Piedmont. Just as a recap, a definitive merger of equals agreement was signed in November 2024, creating the platform for a leading lithium business with an approximately 50-50 equity split. As part of the merger, Sayona raised AUD38 million after costs at announcement with these proceeds flowing to Sayona in the December quarter and reflected in our cash balance. An additional AUD69 million will be placed with resource capital fund, and that will occur upon merger completion, which is targeted to complete in the first half of calendar year 2025. Just to reiterate, a number of the key benefits of the merger include strengthening Sayona's position as a top-tier lithium producer, increasing market access and operational and corporate synergies and a strengthen and robust balance sheet for the merged entity. More specifically, MergeCo will have a strong balance sheet to be able to work through a low price environment whilst also being able to drive development projects forward in a meaningful way. In relation to financial position and cash flow, we closed the quarter with a cash balance of AUD110 million, a 6% increase from the last quarter. Key drivers underpinning this increase relates to the inflow related to the receipt of capital raised funds, which was AUD38 million. We saw expenditure related to flow-through share funding and activities in West Australia totaled AUD15 million as an outflow. Now capital expenditure, as I described earlier, came to $7 million. Merger transaction costs through the December quarter ran to AUD5 million, and there were some movements in corporate working capital in the order of around AUD3 million. Having said all of that, we think we're in a strong position with the cash balance and particularly as we move forward with the merger with Piedmont and the further injection from RCF. As a consequence, our FY 2025 production and cost guidance remains unchanged with our production target in the range of 190,000 to 210,000 tonnes of spodumene, unit operating costs in a range of AUD1,150 to AUD1,300. And our focus in the near-term, aside from obviously integration planning activities with Piedmont are very much focused around optimizing operations for efficiency, enhancing and driving cost competitiveness, and maximizing value through the merger with Piedmont. Now, I just want to spend a few moments taking a deeper dive into the NAL and Moblan drilling results. During the course of calendar year 2024, the NAL drilling program resulted in a total of 153 holes being drilled totaling 53,444 meters. The program was extensively focused on extending mineralization beyond current pit shells, upgrading inferred to indicated resources and targeting Northwest, Southeast, and Northeast extensions. And for those of you familiar with NAL, it's essentially extension along strike on the Northwest and Southeast direction. Importantly, some key high-grade drill intercepts of note in relation to new pegmatites with an intercept of nearly 40 meters or 1.78% were achieved on the Northwest extension. And importantly, within the resource area, the existing mineral resource estimate shells, we saw intercepts in excess of 20 meters with grades ranging between 1.5% and 1.8%. These elements obviously all point towards high-grade lithium mineralization being confirmed beyond existing MRE estimates, supports potential brownfield expansion at NAL and enhances project value amid the Sayona-Piedmont merger. Moving to Moblan. The Moblan program contemplated 281 holes being drilled during the course of calendar year 2024, which resulted in over 76,202 meters being drilled. Key areas of focus for us were infill drilling to improve resource classification and also to see resource expansion to increase mineral inventory. Similar to NAL, Moblan also saw some key high-grade drill intercepts, including in the New South area, we saw intercepts at 37.5 meters at grades of 1.5% to 3%. And then the Inter Zone and Moleon areas, we saw intercepts in excess of 40 meters with grades ranging between 1.59% and 1.74%. Again, key takeaways reflecting from this drill program include the new results confirm Moblan's resource growth potential and further drill results are expected in coming months. As I've said previously, Moblan continues to surprise on the upside, and we're very excited about seeing and incorporating those additional drill results. I'm now going to pass to Sylvain, who's going to provide you with an overview of the work that's been undertaken at NAL over the last years during the restart and the ramp-up, and I think importantly, also provide you some insight into the activities that we're focused on to be able to continue to drive productivity improvements and also cost reductions. Sylvain, over to you.
Sylvain Collard: Thanks Lucas. As you're going to see, a lot has evolved since the restart of operations compared to the 2017-2019 period. We've seen some significant improvements and developments of the mine and the mill. So, let's take a step back and highlight these key advancements. So, first, for the mine operation. So, if we look at the highlights in the 2017-2019, they were facing high diluted material plus 25%. They were facing difficulty with the mining contractor management related to the bulk mining, and proper geological and pit management in terms of controlling the dilution and also challenge related to material segregation or continuous feed to the mill. If we look at what we have been able to achieve today with our team, now dilution is below 10%. Mining contractor management, we had some specific geological training for each operator coming to site, a specific training for at least four hours just to make sure our operators understand how to control dilution and making sure we extract the ore properly. Selective mining. So, when we have some smaller dias [ph] around 2.5 meters, we're using some smaller equipment of 80-tonne excavators instead of using the high production excavator at 150 tonnes. Geological input management, so to make sure we protect the ore, we have the presence of technician and geologists seven days a week, 24 hours per day to make sure we protect the ore. Material segregation for continuous speed to the mill. So, on the ramp pad, we have six bins to making sure we provide the proper feed grade to the mill. And this is also providing flexibility for the grade management when necessary. We have also the use of technology for better ore traceability in terms of planning, 3D scanning for the underground stopes and also for the surface. We're using some different also software for the blasting and ore movement. Switching directly to the mill upgrades. So, just to step back, the project average from 2021 to February 2023, excuse me, what we did exactly for the crushing area. So, we upgrade the Apron Feeder for the jaw crusher C-125. We upgrade the HP400, the [Indiscernible] crusher. We put some heating in the building. We added some additional sorters to make sure we protect the ore and minimize dilution from the feed. And we started the installation of the Crushed Ore Dome, which is very significant in terms of [Indiscernible]. At the mill, we added two additional stack-sizer [ph]. We had also a LIMS, which is called Low-Intensity Magnetic Separation, removing iron from the ore. Additional WHIMS also, which is Wet High-Intensity Magnetic Separation, protecting also the concentrate from the iron. We added some conditioning Tank 57 and Tank 59, and we doubled the filter belt capacity for higher throughput at the processing plant. So, where we are today in terms of improvement. Let's start with the throughput improvement. 2017-2019, they were at 139 tonnes per hour. Now, we're reaching 175 tonnes per hour, which is an increase of plus 25%. What are the improvements related to that, what we have been able to optimize the stack sizer, screen size, we modify that. We have been able to optimize the rod and the ball mill charge optimization just to making sure we're using all the energy available and increase the throughput. We have also some debottlenecking initiatives since the beginning of the operation. One of the example is optimizing the tailing line routes at the TSF 1 to minimize pressure. And we have also a live monitoring system to see our optimization process. In terms of recovery, 2019, 60% was the average recovery achieved. Now, we're around 68%, 69%. And what is super important to understand, it's plus 9.6%, but with a higher throughput. So, what we did at site is collector type optimization. So, we're testing continuously with [Indiscernible], different type of collectors to improve recovery. We're working on the water quality to making sure the recovery is related to this one. Scavenger high-density conditioner, the TK57 and TK59 was very [Indiscernible] for us to increase the recovery. And we have been working also on flotation with the distribution of the air. Number four, mill utilization, from 66% 2017-2019, now we're averaging 90% which is a huge increase of plus 36%. What are the main key factors to achieve that? Crushed Ore Dome is giving us flexibility to maintain our crushing area properly. Crushed Ore Dome has a capacity of 6,000 tonnes. So, we can stockpile material and do the proper shutdown as planned. We added also the new C-150 pre-crushing crusher -- jaw crusher on the ramp pad, feeding material more adequate to the C-125 jaw crusher in the crushing area building. We did also some modification in the crushing area, shoot conveyors to sufficient proper cleaning and maintain our equipment. And we created also some bypasses to make sure we can bypass if we have some mechanical issues. Finally, concentrate quality, we have been working. This is our main focus. So, with higher throughput with material coming from Phase 2 and Phase 3 with a little bit higher iron content, we can provide high-quality concentrate at 5.3% and with the spec with the iron market. So, it's going very well on this aspect. So, the key drivers are extensive test work in real-time just to make sure we have a proper blending to feed the mill, reagent optimization, and also water coagulant to make sure the quality of the concentrate is adequate. So, lots of smaller project is ongoing at site right now. The last year has been focusing on stabilizing the operation, which we did. Now, we're focusing on optimization costs and increasing recovery. So, lots of smaller projects on the table for the coming years. So, I will now hand back to you, Lucas.
Lucas Dow: Thanks Sylvain. So, in conclusion, the December quarter showcased strong operational and improving financial performance with NAL nearing operating cash breakeven. Drilling results at both NAL and Moblan confirm significant resource expansion potential and the Sayona and Piedmont merger is a game-changing transaction and milestone, positioning us as a leading lithium producer. We look forward to further resource updates and ongoing development in 2025 and continue to deliver upon our commitments, and importantly, being able to drive value for shareholders. Thank you, and I'll now hand over to the operator for any questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Austin Yun with Macquarie.
Austin Yun: Morning Lucas and team. Good results. Good to see the shipment was strong and the unit cost is coming down. Just two questions from me, please. The first one is on the exploration. Given that you have finished this flow-through shares, should we expect the work on the exploration to slow down a bit, which means it is going to be more supportive of your cash flow in the near-term? I'll come back to the second one.
Lucas Dow: Good morning Austin, thanks for the question. Yes, in short, we've worked through with Sylvain and the team in Québec. Really the next 18 months, we won't see any additional exploration activity for Moblan or NAL. We obviously want to digest that those drilling results and importantly, get those into an MRE update, which we'll be releasing later in the year. And as we've indicated previously, we also want to get busy with studies for the potential for brownfield expansion in NAL and also revisit the DFS at Moblan.
Austin Yun: Thank you. The second one is on the cost. I saw that the mining activity costs increased a bit compared to the prior quarter. Just wanted to get some update. I believe you're mining through the Phase 3, which has some historical underground working. How is that condition compared to your original mine plan? Do you expect to see a further increase of mining costs in the next six to 12 months? Thank you.
Lucas Dow: Yes. So, Austin, the last quarter was punctuated with increased mining activity. That was reinstituting some in-pit inventory and also ROM stocks. to be able to effectively align with the planned production. Importantly, we've also had to do quite a bit of pioneering work on the top of those phases. That's now being worked down. And so in short, Sylvain and the team have now got some much more productive and better operating areas in the mine. So, whilst we'll see activity in terms of a volume basis continue to increase, we expect productivity improvements to flow through as we move forward.
Austin Yun: Okay. Thank you. Sorry, just one quick follow-up. Just in terms of seasonality. In the near-term, it's kind of a winter in the Northern Hemisphere. Is the -- the TO2 have the biggest weather impact in terms of low temperature? Should we expect a continuation of that in early 3Q? Or all of that already? Any color would be appreciated. Thank you.
Lucas Dow: Yes. Thanks. I will pass to Sylvain in a moment, but just as a bit of color. I was with Sylvain and the team in Québec two weeks ago, and it hit minus 40 degrees Celsius on site. So, we're still in the grips of some pretty cold weather there and even the locals were saying it was cold. I think, Austin, by and large, Sylvain and the team have done a great job in the mining area and sort of been able to winterize the pit, if you like, and that's performing well. Where we have seen some impact has been in relation to the crushing area. And Sylvain, you might just describe some of the challenges that we've seen with some of the unseasonal warmer weather and then followed by the flash freezers. So, over to you, Sylvain.
Sylvain Collard: Yes, for sure. Thanks Lucas. So, what we saw at the beginning of the year in January, we saw some very warm temperature, very unusual temperature rain and bad forecast for something like five days. So, when you have some major difference in terms of, let's say, 5 degrees going down to minus 30 degrees, that has a huge impact because you can have water and muddy material going directly in the crushing area. So, we're still working on that right now to manage that. But there is no risk associated with the open pit operation. But when we have some huge fluctuation in terms of temperature like that, the biggest impact is on the crushing area. But for the last week, it's minus 20, 25 degrees and the temperature is quite stable. But at the beginning of the month, it was quite difficult, and Lucas has been exposed to this.
Austin Yun: Thank you, Sylvain. Thank you, Lucas. I'll pass now.
Lucas Dow: Thanks Austin.
Operator: Your next question comes from Noel Parks with Tuohy Brothers Investment Research.
Noel Parks: Hello. Just had a question talking about resource expansion, especially thinking about NAL. So, from what you know so far, the potential for expansion, is it fair to assume that we would be looking at similar costs, unit costs to the live production at NAL? Or are there any deltas there, either efficiencies you predict would lower costs or any other logistical changes that might give you cost pressure?
Lucas Dow: Thanks Noel. Great question. So, if I understood correctly, you're asking about what a potential expansion might mean for the cost base at NAL. Have I got that right?
Noel Parks: Exactly.
Lucas Dow: Yes. So, look, I think in short, any additional volume that we're able to produce at NAL, whether that be without the expansion or with an expansion, obviously helps to dilute our fixed cost basis. I mean if you were to assume that, say, 50% of our costs are fixed and you were to double NAL's volume, essentially, you'd see a 25% reduction in our unit costs just through dilution of the fixed component. I think the other element to highlight as well is that we're currently mining with the mining sequence through remnant underground stopes. We've got another sort of two, two and a half, maybe three years to go. Once we're through that, that will see additional costs that we've got currently deployed in relation to safety safeguards and also it has an impact on mining productivity in terms of having to put excavators on remote operation and so forth. So, the short answer would be, irrespective of the expansion, you'd expect to see a reduction in our mining unit costs as we move forward once we get through those underground remnant stopes. But importantly, with the expansion, any volume there would certainly dilute that fixed cost basis and push us further down the cost curve.
Noel Parks: Got it. Thanks. And just a general question, I might be a little bit early. But as you look to the completion of the Piedmont transaction and I'm thinking in particular about the regulatory environment and whether you have started engaging with some of the parties that would have a say on various Piedmont projects? And if you, at this point, have any thoughts about the way forward on those?
Lucas Dow: Yes. So, we're certainly working through our integration planning. In fact, we just got off a call early this morning with the Piedmont team, myself and Sylvain and James Brown spent some time in North Carolina at Belmont with Keith and the team a couple of weeks back as well, just going through the projects. And we've had some engagement with Atlantic Lithium Piedmont's joint venture on the [Indiscernible] project as well. So, we're certainly not the cart before the horse, but we're doing the preparatory work so that people can expect that at completion, and we expect to complete in the first half of this calendar year that we'll be hitting the ground running as a merged entity in relation to our project portfolio. And obviously, Sylvain will continue to drive NAL forward.
Noel Parks: Okay. Thanks. Thanks a lot.
Operator: Your next question comes from Reg Spencer with Canaccord.
Reg Spencer: Thank you. Morning Lucas. Just echoing Austin, congrats on a great quarter. I just had a few questions I was hoping you can help me with. Firstly, recoveries, good to see that continue to tick up. But can you just remind me of the design or targeted recovery rate at NAL? And do you see potential for any further incremental improvements there?
Lucas Dow: Yes. Morning Reg. I'll flip across to Sylvain because we actually spent quite a bit of time with Lynn Girard, who's our mill manager and [Indiscernible], who's our Chief Metallurgist, actually working through this. And so there's a few elements around like courier rate and so forth, some projects we've got coming online, Reg. So, Sylvain, over to you.
Sylvain Collard: Thank you, Lucas. So, yes, the recovery is well aligned with the numbers we have in the DFS, maybe 1% or 2% below, but we're stabilizing the process with the Phase 2 and the Phase 3. So, what we have right now in terms of projects to increase our, let's say, recovery and real-time management is the online analyzer called [Indiscernible]. So, this project will be completed in this quarter, and we'll be able to see the outcome and the result of it in in the final quarter of financial year 2025. So that one is going to be a huge -- going to have a huge impact. So we're going to have some analysis in the real-time. I'm talking about 15 minutes reading instead of every six hours. So for sure, that will have a positive impact on recovery. And we have also a lot of projects related to our metallurgical team in terms of testing different collectors more adapted to the Canada and Québec, let's say, weather. So, all major suppliers are working with us and Shell on a weekly basis to improve the different collectors and go to the next generation. So, this is, let's say, the two biggest items we're working on it. There is some smaller projects, but these two are the most important one.
Reg Spencer: Thanks Sylvain. And just following on from that, subject to the expansion studies and maybe Lucas can jump in here as well. But are there opportunities for those recoveries to be improved through any expansion beyond just the small incremental projects that you're working on at the moment?
Lucas Dow: Yes, Reg, I think there's a number of areas. The guys are just, for example, some work being done around granularity and how we might be able to improve flotation recoveries, particularly for larger grain size and so forth. So, some of that work is in train. So, the short answer is, as part of any expansion study, we'll look at what -- where those enhancements might be made. And just as a reminder, NAL is a flotation-only operation. So, there's no DMS in there. So, -- and you'd be well-versed in this, but probably for the benefit of other folks on the call, the levels of performance in relation to recovery that Sylvain and the team are achieving, they're certainly pushing up there around benchmark, but we're certainly not resting on our laurels and there's more work to be done there.
Reg Spencer: No, if you go and have a look at the other flotation projects or base projects around the place, the ramp-up and increase in recoveries has probably been the best, if I'm not mistaken. Anyway, I digress. Thanks for that guys. Next one, just on pricing. To me, it feels like pricing has bottomed and depending upon what benchmark you look at, it's even been grinding a little higher in the last month or two. Can I ask what feedback has been like with your existing customers and what they're willing and able to achieve from their customers? And have you guys got a view on near-term pricing direction over the first half 2025 or through the course of the rest of the year?
Lucas Dow: So, Reg, look, we've had great market acceptance. We've engaged with a trading partner as we described last quarter. That's going exceptionally well. Having -- you're not having any trouble getting cargoes away. In fact, see improvements in relativity on realized price. And in fact, we've had a couple of customers also reach out and want to take additional volume. So, I think we're in a pretty good space. I think the other component, we often get a question particularly from our retail investors around offtake. With the Piedmont -- or prior to the announcement of the merger, with the Piedmont offtake agreement, it was quite difficult for us to lock in any additional long-term volume. With the merger and then subject to completion, obviously, in that the Piedmont offtake arrangement falling away, that's going to provide us with a number of options to engage. And we've already had people started approaching us on the back of the announcement for the merger around potential offtake. So, that space is certainly going to live it up for SOA, which we're obviously excited about. But I think the nice thing as well, if we look to look across the field, -- and given that we do have a freight disadvantage to China coming out of Québec, we're certainly holding our own on pricing and maybe even a little better than some of our peers in this space. I think in terms of pricing outlook, I think similar to most other folks, we don't think these current prices are sustainable. So, we expect it to trend up. The great question is when. We do know that the forward curve still remains in contango and in the order of sort of 25% above spot. So, I guess the future are indicating there'll be some recovery, but I think there's a bit of wait and see. But I think importantly, our strategy is -- I've said it 1,000 times, people probably get sick of hearing it, but it's very much a case of grinding through, getting ourselves into a position where we're cash flow breakeven at NAL, and we're very close to that now and be able to effectively get through this storm when the market turns MergeCo will be exceptionally placed to leverage the price recovery.
Reg Spencer: Thanks Lucas. Merger will certainly help in all that. That’s great. Thanks very much for the help guys. I'll pass it on.
Lucas Dow: Thanks Reg.
Operator: There are no further audio questions. I will hand over to Andrew Barber for questions from the webcast.
Andrew Barber: Thanks Kelly. Lucas, a couple of questions that we've received. In previous quarters, we've provided updates on in-pit and ROM inventories. Is it possible to provide that information in future quarterly reports?
Lucas Dow: Yes, great question. Look, I think a couple of things. When we were through that ramp-up period, things like pit inventories and ROM inventories were probably more important and helpful for shareholders to determine how the ramp-up was going. Now, that we're effectively well past the ramp-up, and really nearing full production. Those metrics are less useful and particularly inventories, they can be a little deceiving as they're only a snapshot in time. And depending upon whether Sylvain may have prioritized ore for the last couple of weeks of a quarter or waste, it can be somewhat deceiving. So, we think the metrics we've included in the quarterly now are an appropriate reflection of operational performance and are probably more aligned to be able to give shareholders a clear view on how we're performing.
Andrew Barber: Thank you. The next question is, previously, the company had a stated goal of increasing production up to 4,800 tonnes per day. Is that still the current company's objective?
Lucas Dow: Yes. Well, I mean, I can tell you that Sylvain spends every waking moment around making sure that we're operating safely, meeting our environmental obligations. -- and working out how we bring more out of the existing facility. So, we're certainly not sitting there waiting for an expansion to be able to push things forward. As Sylvain described, there's a number of projects that are ongoing to be able to drive that volume forward. So, we certainly want to continue to see volume pushed out of NAL, but we want to do it in a sustainable and repeatable fashion.
Andrew Barber: Great. Thank you. Our guidance is for operating costs is AUD1,150 to AUD1,300 per tonne. Considering the cost performance in Q1 and Q2 of this financial year, could you discuss what that means for Q3 and Q4 costs?
Lucas Dow: Yes. So, we flagged in previous quarters that there was an element of the back end as we got through the ramp-up and some of that higher inventory build worked through. We're now seeing that level out. And as demonstrated in the most recent quarter, we've seen a 6% reduction in unit operating costs. We expect that to continue to drift down in subsequent quarters. So, we certainly reaffirm that guidance, and we'll be striving to be at the low end as best we can.
Andrew Barber: Thank you. With regards to NAL and Moblan and the drilling results released, when can we expect to see an updated MRE and additionally, an updated DFS on Moblan?
Lucas Dow: So, Sylvain's team is obviously busy receiving the remainder of those drilling results. So, we haven't had all the assays back and so forth. Once we've got that, it will go into the model and then we'll be out with an MRE update during the course of calendar year 2025, probably more realistic around probably our annual reporting suite at this point, given the merger and everything else we've got going. And then in terms of sort of DFS, we're just looking about what the best approach is, whether we fast-track a DFS or we effectively step through a PFS at NAL. And then Moblan, given there's an existing DFS is how we update that on the back of the expanded MRE and also a desire to be able to increase the production volume beyond 300,000 tonnes as was originally contemplated.
Andrew Barber: Thank you. You've previously commented that the mining services contract is being renegotiated. What's the latest update on that process?
Lucas Dow: Yes. Sylvain is leading this. So, I'm going to throw it to him. But I think just at the outset, [Indiscernible], the incumbent, I think in recent times, we've seen an uptick in terms of their performance, which has obviously been reflected in relation to our mining output last quarter. Sylvain is engaged with that. We've also brought in some tension with pricing from another provider as well. But Sylvain, you might just sort of describe some of the improvements that we're seeing on site. But suffice to say, we're still sort of -- we're still evaluating our position there. But Sylvain, you might want to add some color around [Indiscernible] performance and how you see things playing out?
Sylvain Collard: Yes, Lucas, you're absolutely right. So, we had some bids, and we're looking for different options. But as we speak right now, Phase 2 and Phase 3, let's say, the topography is mostly behind us. So, we see a very good performance in terms of productivity and decrease in costs. So, what we're doing right now, we're doing the analysis. But what was costing us a little bit more was the, let's say, the cost plus related to starting some new phases. So, yes, the process is ongoing to analyze what is the good approach, and we'll give an update for the next quarter.
Lucas Dow: Thanks Sylvain.
Andrew Barber: Thank you, Sylvain. When we consider the most recent MRE for NAL and compare that back to the MRE that was considered in the DFS, it's a nearly threefold increase, excluding recent drill results. So, this suggests there's several options, maintaining mine life and increasing production threefold, keeping production steady and extending mine life, or a combination of both. What's the current thinking of Board and management regarding those options?
Lucas Dow: Yes. So, you're absolutely right in relation to the question, given that the significant increase in the MRE has brought up some nice options for us. With the increased MRE, like to put mine life of plus 30 years at current production levels, that's obviously not going to realize a great deal of value. So, we're very keen to see expansion brought on. But obviously, it needs to be timed appropriately, and it's got to be cost efficient. We certainly think it will be very capital-efficient given that it will be a brownfield expansion. You've got all the infrastructure and so forth there. So, we'd expect to see -- we're going to work through that study phase, but get through the expansion case and really understand what that sweet spot is in terms of annual output and then what the consequences on mine life. But certainly, NAL is pointing towards being able to support a significant increase in the production basis.
Andrew Barber: Thank you. The next question is, when is the company going to commit to a long-term offtake agreement?
Lucas Dow: Yes. So, as I described earlier, the existing offtake arrangement with Piedmont was contractually a bit of a challenge there. I think it's fair to say and if we just look at some of the results of our competitors, the current -- in the current environment, the spot market and our trading partners are probably doing better than if we had been an offtake arrangement. So, I think it's a watch this space piece. But I think importantly, an offtake is no guarantee of success in terms of either the counterparty performing on volume nor pricing. So, we're taking a very commercial and astute approach to offtake arrangements.
Andrew Barber: Thank you. The next question is with regard to the Acuity standby share facility. Why was that terminated? And was the decision to do that -- do so mutual?
Lucas Dow: Yes. So, the short answer was it was our decision to be able to terminate the facility. In short, it was no longer required. We thought it was an effective way of -- well, on the back of the raises at merger announcement and then with the subsequent raise coming with RCF, we thought that was an appropriate time to end the facility. And I think probably just one thing that I did want to point out is that whilst those shares effectively been transferred across for the likes of key management personnel, KMP awards, they're all subject to our remuneration report. So, I just want to dispel any misconceptions that might exist that those are going to be used to award shares or options to NEDs or anything like that? The answer is absolutely not. They're just -- it was the most efficient way of being able to establish those shares to align with our remuneration report and be able to execute with key management personnel and employee share programs, but certainly not for NEDs.
Andrew Barber: Thank you. What are our thoughts on the threatened 25% tariff by President Trump, specifically with regards to Canada and its critical resources sector?
Lucas Dow: Yes, I think it's probably fair to say it's fluid at the moment. I mean Sylvain will probably be able to give you a sense of how the Canadian is sort of feeling about it. But look, I think it's probably fairly early days to understand what that looks like. By and large, the vast majority outside of Tesla with Piedmont's offtake is destined outside of outside of North America. So, probably not a material impact. But Sylvain, I don't know if you've got any comments from a Canadian perspective around the potential tariff threat.
Sylvain Collard: Yes. No, it's a very good question. So, we're just waiting for, let's say, this week, what's going to be the update on the CUSMA list, which is the Canada, United States and Mexico Agreement because as we speak right now, spodumene is a duty-free item. So, we're just waiting to see what's going to be the updated list in the coming weeks. So, as we speak right now, it's hard to say if it is a risk or not. We're just waiting to see what's going to be the update list. And as soon as we have that, we'll be able to reply to this one. So, right now, let's just wait and see.
Andrew Barber: Thanks Sylvain. Could we comment on the political risk within Canada? How are our relations with the Canadian government and the process regarding government grants?
Lucas Dow: Yes. So, just a couple of headline comments before I pass over to Sylvain to give you a sense of on the ground. We tap into a number of grants and that exist within the Canadian infrastructure, and that's all performing well. In fact, Sylvain has got someone that's dedicated to that. Obviously, there's an impending election, which we'll see depending on whether the conservatives take power or not. So, there is probably a little bit of wait and see. What I can say is that Sylvain and the team from everything I've seen and experienced great relationships with the Québec government and be able to reach in there and also with the federal government as it relates to regulators and so forth. But Sylvain, you're living and breathing that every day. So, any comments you might have?
Sylvain Collard: Yes. We don't see any difference as we speak since Monsieur Trudeau resigned. So, we're going to wait until we have a new Prime Minister in March 9th. And after that, we'll see if there is some -- they want to start a new election in March 2024, excuse me. But with the Québec government, it's business as usual. We still have some great discussions with IQ and the government in place. So, there is no issues as we speak, but we're just waiting what's going to be the next steps on the federal side.
Andrew Barber: Great. Thank you, Sylvain. So, considering offtake agreements post-merger and so this is specifically about the existing Piedmont offtake agreements with LG, Chem, and Tesla, would we consider further partnerships and renewing those contracts?
Lucas Dow: Short answer is yes. As always, we want to be able to drive the best possible bargain that we can for shareholders. So, ultimately, we'd be evaluating an extension of those offtake arrangements versus what we might have available with either other offtake arrangements in the spot market. The short answer is we're certainly open to extending those relationships.
Andrew Barber: Thank you. Further question is, with regards to the merger integration costs, are those split 50/50 with Piedmont?
Lucas Dow: Short answer is yes. Probably just a couple of comments. and there's no sort of hiding from it. Transaction costs on this deal are a little high. A large part of that is the multi-jurisdictional nature of it. Given that Piedmont are listed in the U.S., we're here in the ASX and then effectively the secondary listing on the NASDAQ requires SEC submission of F4 Forms and so forth. And then on top of that, we've obviously got NAL in Québec. So, that multi-jurisdictional piece is great for lawyers, not so great for costs. And then obviously, there's some one-off transaction costs as well that are contractual obligations around changing control provisions and so on. So, I can certainly assure shareholders we're doing everything they can to minimize those, but unfortunately, it's just a part of getting this transaction done, but we're absolutely confident about being able to realize significant value on the back of the transaction.
Andrew Barber: Thanks Lucas. Kelly, that’s all the questions I have.
Operator: Thank you. That does conclude our question-and-answer session. I will hand back to Mr. Dow for closing remarks.
Lucas Dow: I just want to say thanks, everyone, for their time. For those who might not be aware, this is the first quarterly update we've done in this format. You can look forward to more of these, so we're committing to these. I just want to again thank everyone for their support and we look forward to being able to deliver on the merger and also our results as we move forward. So, thank you, and have a great day.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.